Operator: Good morning, and thank you for joining Becle's Third Quarter Unaudited Financial Results Call. During this call, you may hear certain forward-looking statements. These statements may relate to our future prospects, developments and business strategies and may be identified by our use of terms and phrases such as anticipate, believe, could, estimate, expect, intend and similar terms and phrases and may include references to assumptions. Forward-looking statements are based on our current expectations and assumptions regarding our business, the economy and other future conditions. Because forward-looking statements relate to the future by their nature, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict. Our actual results may differ materially from those in forward-looking statements. Before we begin, we would like to remind you that the figures discussed on this call were prepared in accordance with International Financial Reporting Standards, or IFRS, and published in the Mexican Stock Exchange. The information for the third quarter of 2025 is preliminary and is provided with the understanding that once financial statements are available, updated information will be shared in appropriate electronic formats. [Operator Instructions] Now I will pass the call on to Becle's CEO, Mr. Juan Domingo Beckmann.
Juan Legorreta: Good morning, everyone, and thank you for joining us today as we discuss Becle's third quarter 2025 results. In a challenging environment, we continue to strengthen our position in key markets, supported by the consistent execution of our strategic initiatives and the strength of our brand portfolio. Consolidated volumes increased by 3.7%, mainly driven by a 5.2% growth in our spirits portfolio. In the U.S. and Canada, Tequila remained the main growth driver, and we continue to protect long-term brand equity while prioritizing premiumization. In Mexico, our core categories continue to gain momentum, and we consistently outperformed the market, gaining share across most segments. Finally, EMEA and APAC delivered double-digit growth, supported by strong execution and healthy inventory levels. On profitability, our gross margin expanded by 300 basis points, reaching 56.1%, mainly reflecting our lower input costs and operating efficiencies. Additionally, EBITDA for the quarter reached MXN 3.5 billion, marking a 63.3% increase year-over-year. As we approach year-end, our priority remains balancing shipments and depletions while continuing to execute our premiumization strategy across all regions. I'm confident in our ability to close the year strongly and position ourselves for sustained growth in 2026. Thank you. With that, I'll turn it over to Mauricio Vergara to discuss our U.S. and Canada results.
Mauricio Herrera: Thank you, Juan, and good morning, everyone. Please note that [indiscernible]. During the third quarter, the U.S. and Canada region continued to face a complex and highly competitive market environment, characterized by persistent pricing pressures, cautious consumer spending and evolving category dynamics. Despite these challenges, our team remained focused on disciplined execution. Net sales value declined 10.3% compared to the same period of last year, reflecting a 6.4% decrease in shipments and a 4.4% decline in depletions. This result was mainly driven by continued softness in our Ready-to-Serve portfolio and retail boycotts in Canada, which resulted in approximately 120,000 cases in lower shipments. Encouragingly, our full-strength spirits portfolio outperformed the region's overall trend, led by stronger performance in high-end tequilas, which continue to drive premiumization across our mix. In terms of consumer takeaway, our performance was in line with the overall market. According to Nielsen 13-week data through September 27, our spirits portfolio, excluding prepared cocktails, declined 3.5% compared to a 3.4% decrease of the total industry. Meanwhile, C-stores, which provides one of the most comprehensive views of the industry performance, shows that Proximo outperformed the broader industry within full-strength spirits, including the Tequila category, over the 3-month period ending in August. Our prepared cocktails portfolio continued to weigh on consolidated shipments, largely due to softness in our large-format Ready-to-Serve offerings. But in contrast, our ready-to-drink cans gained momentum versus the first half of the year, signaling a positive turnaround as we align our portfolio with evolving consumer dynamics. Within Tequila, we continue to observe intensified industry-wide pricing competition. Average tequila pricing in the market declined 7.9% versus last year as leading competitors implemented material negative price adjustments. In this environment, we have remained disciplined, focused on selective strategic promotions while maintaining an overall responsible pricing approach. Notably, small format offerings of our super-premium and ultra-premium brands continue to outperform, underscoring that consumers are seeking high-quality products while managing their spending. Our strategy to strengthen the on-premise continues to deliver results. On-premise shipments outpaced the off-premise, driven by initiatives that enhance brand visibility and consumer reach. Looking ahead, we anticipate improving long-term fundamentals in the U.S. spirits market, particularly within our focus categories. Premiumization continues to drive growth in Tequila, where demand for authentic high-quality brands remain robust. I will now turn the call over to Olga Limon to discuss the results for Mexico and Latin America.
Olga Montano: Thank you, Mauricio, and good morning, everyone. In a challenging industry landscape, Mexico posted solid third quarter results. Even with constrained consumer demand, we outperformed in our key categories and continue to improve our leadership position. Net sales value increased 24.3% in the quarter, primarily driven by an increase in volume. This was further supported by a favorable product and channel mix as high-end Tequila outperformed the rest of the portfolio. Shipments in the quarter increased 18.3% year-over-year, driven by market share gains and an easy comparison against last year. As you recall, 2024 was a typical year marked by strong industry destocking. Compared to the third quarter of 2023, shipments grew 1%, demonstrating that we have returned to premarket contraction shipment levels, and we have done so with a normalized inventory position. Overall, inventory levels remain healthy and well balanced across channels as we head into the year-end. Our brands continue to gain market share in Mexico, reinforcing our leadership in both Tequila category and the broader spirits industry. According to [ Nielsen ], we grew in value 3.4% year-to-date compared to flat performance for the overall industry, while our volume rose 3.4% versus a 1.1% industry decline. These results underscore the strength and consumer appeal of our brands in the Mexican market. During the quarter, we took a strategic step to further optimize our portfolio with the sale of Boost, reinforcing our commitment to focus on our core spirits business. The fourth quarter of 2025 will serve as a transition period, during which we will continue to operate the brand in close collaboration with the buyer to ensure business continuity. As of January 1, 2026, Boost will no longer be consolidated in our financial statements. For reference, in 2024, Boost sold 938,000 9-liter cases, representing 3.7% of our consolidated volume and therefore, will impact our volume comparables in 2026. In Latin America, performance was strong, with shipments and net sales both increasing. We also achieved a double-digit increase in net sales value per case, reflecting the successful execution of our premiumization strategy. Despite persistent macroeconomic uncertainty, underlying trends continue to improve across the region, and we remain focused on disciplined pricing, protecting profitability and reinforcing our leadership position. I will now turn the call over to Shane Hoyne, Managing Director of the EMEA and APAC region. Thank you.
Shane Hoyne: Thank you, Olga, and good morning, everyone. During the third quarter, we operated in a volatile trading environment influenced by macroeconomic uncertainty, aggressive competitive pricing and continued cost-of-living pressures. These factors led distributors to manage inventories cautiously. Even in this context, our premium spirits portfolio delivered solid results, driven by robust growth in super premium tequilas across key Asian markets and emerging EMEA countries. Shipments in EMEA and APAC increased 11% in the quarter. Asia remained a key growth engine, achieving double-digit growth in both shipments and depletions. Tequila remained our primary growth driver across the region with shipments up 20% year-over-year and super-premium tequila shipments accelerating 38%. These results demonstrate the strength of our premiumization strategy and the growing global appeal of our brands. Looking ahead, the fourth quarter will be a pivotal trading period. Through effective commercial execution and agile decision-making, we expect to maintain momentum in the EMEA and APAC region, backed by the strength of our portfolio and our disciplined focus on premiumization. We believe we are well positioned to deliver sustainable growth across the region. I will now hand over to Rodrigo, who will take you through the financial results.
Rodrigo de la Maza Serrato: Thank you, Shane, and good morning, everyone. I will now walk you through the financial results for the third quarter of 2025. The company reported a 3.7% increase in volume, driven primarily by a 5.2% growth in our spirits portfolio, marking our first quarter of volume recovery since Q1 '23. Consolidated net sales were flat at MXN 10.9 billion, reflecting the continued impact of price normalization, geographic mix dynamics and unfavorable FX. This quarter marks our seventh consecutive period of year-over-year gross margin expansion, a significant achievement despite unfavorable regional mix and despite the appreciation of the Mexican peso, which represented a modest drag on margins. Despite these headwinds, we continue to benefit from lower agave-related input costs and ongoing cost efficiencies from strategic sourcing and manufacturing operations, resulting on a gross margin of 56.1%, an expansion of 300 basis points. A&P expenses declined year-over-year, reflecting our focus on strategic brand prioritization and disciplined resource allocation amid moderate demand. SG&A expenses also decreased as a percentage of sales as productivity gains and tighter cost controls more than offset inflationary pressures. EBITDA increased 63.3% year-over-year to MXN 3.5 billion, while the EBITDA margin expanded to 31.7%. This increase reflects both strong organic performance across the business and inorganic contributions. Turning to the financial results. We recorded a favorable swing of MXN 3 billion in the quarter, primarily driven by a MXN 2.5 billion gain from asset divestitures as well as MXN 188 million year-over-year foreign exchange gain, as the appreciation of the Mexican peso positively impacted our net U.S. dollar debt exposure. As a result, net income grew at triple-digit rate year-over-year, reaching MXN 4.1 billion. From a cash flow perspective, the company generated MXN 3.3 billion in net cash from operating activities, primarily reflecting strong profitability. Our cash balance increased MXN 5.1 billion relative to the end of the second quarter, mainly due to proceeds from the portfolio optimization activities. Our capital allocation approach remains consistent and disciplined. Every decision aims to support long-term value creation and sustainable growth. Our top priority continues to be investing in organic growth through brand prioritization, targeted A&P spending, innovation and R&D to ensure the continued strength and resilience of our portfolio. At the same time, we remain disciplined in managing our portfolio, acting decisively when brands no longer fit our strategic direction. The recent divestment of the Boost brand is a clear example of this, an action aligned with our ongoing efforts to sharpen our portfolio and exit noncore assets. Looking ahead, we will continue to explore value-creating investment opportunities, being mindful that our portfolio is unique and any acquisitions must be both strategic and accretive to the business. The following chart shows how our company is delivering on CapEx efficiency. The business is generating more EBITDA while requiring less CapEx to do so, demonstrating the success of our efficiency initiatives and our progress towards a more asset-light value-accretive operating model. Finally, our lease adjusted net debt-to-EBITDA ratio improved to 1.0x from 1.7x in the previous quarter, underscoring the strength of our balance sheet and our capacity to create long-term value. Overall, the step-up in underlying operating profit was the main driver behind a 160 basis points increase in ROIC compared to the same period last year. With that, I will now turn the call back to the operator for the questions-and-answer session. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Ricardo Alves.
Ricardo Alves: Ricardo Alves from Morgan Stanley. Impressive numbers. I had a couple of questions on the main positive surprise to us came on the gross margin, the 56% number in the third quarter, certainly very impressive. Is it possible to go a little deeper or to quantify any agave impact or raw materials in general that boosted your margin for the third quarter? Any color that you could share? Even if qualitative, in terms of how you're cycling the inventory of raw materials in the portfolio that you're selling today, that would be helpful. We've been talking about going back to that 60% gross margin or so for many years now, and it seems that we are approaching that. So any qualitative or if you're able to quantify in a way how you're cycling through the inventory of agave finished products? I think it would be helpful for us to have a better idea of how your profitability could shape up in 2026. That would be my first question. The second question, really impressive numbers in Mexico and Rest of the World. So I think that we have less concerns there. But I think that the U.S., I believe that one of the comments that you made is that the competition remains tougher in that market. So I wanted to focus on that market. We noticed that your unit revenue on a U.S. dollar terms was down, I believe, 5% in U.S. dollar. And we also assume that your product mix continues to improve in the U.S. So that would imply that there seems to be some discount activity on the spirits category. I just want to pick your brains on that to see if indeed, you're still seeing your competitors more aggressive in pricing. And if there is a light at the end of the tunnel here, maybe things are looking better as we go into the fourth quarter and shipments and depletions could be more aligned. So just trying to see if we are closer to a stabilization of the U.S. market.
Rodrigo de la Maza Serrato: Thank you, Ricardo. This is Rodrigo. I will take the first question. In fact, yes, we're satisfied with the progress on gross margin. So far, we continue to cycle all the inventory, as you correctly mentioned. And I want to highlight that most of the benefit on gross margin is coming actually from agave-related input, everything that happens there in terms of the agave, the yields and also the manufacturing efficiencies that have been implemented through manufacturing investments. And so the main driver is that. On the contrary, we have, at least in this quarter, an unfavorable Mexico peso impact, driven by the appreciation of the peso, also mix -- unfavorable mix dynamics overall, given the U.S. results as a percentage of the total portfolio, plus, as you mentioned, the heightened promotional activity resulting in a lower price per case. Overall, that's what's driving the gross margin, which stands at 56%, which is quite positive.
Mauricio Herrera: On your second question, Ricardo, this is Mauricio. You're right. The market continues to be extremely competitive. If you look at total Tequila, the overall pricing is down by almost 8%. So what we -- the approach we have had has been to actually indeed have some targeted promotional activity to remain competitive and protect our share in the marketplace, but without chasing competition. So our focus continues to be protecting our competitive position in the marketplace whilst protecting the brand equity for the long term. So we will refrain from chasing competition on the downside. We need to remain competitive, but our focus is really long-term equity growth in what I think will continue to be for the next year or so, a very competitive market environment.
Ricardo Alves: That's helpful, Mauricio. Do you see any early indications that maybe the market is going to become more rational anytime soon? Or maybe the trends that we saw in the third quarter did remain the same into the fourth quarter?
Mauricio Herrera: Look, based on what we're looking at all the data sources and for me, the most comprehensive one is [ DeepSource ], what we're seeing is a projection of next year of the market of our potentially continue to decline at a rate of 4.5%. So with that projection of the market, I would expect the market to remain extremely competitive as everyone will be focused on share. So I don't see the current dynamics changing at least for the next 18 months.
Operator: Our next question comes from the line of Nadine Sarwat.
Nadine Sarwat: This is Nadine Sarwat from Bernstein. Two for me, please. First, sticking to the U.S. on RTDs, I know that continues to be the main drag. It's been the case for quite some time. Although I believe in your prepared remarks, you did call out better momentum as you've adjusted your strategy. Could you please flash that out, what is this current strategy when it comes to the subsegment over the coming quarters? And what are you expecting the performance to be there? And then a second question, I appreciate the clarification of calling out Mexico shipments versus 2023. Could you just confirm or clarify that depletion number for Mexico so that we ensure we get the full picture?
Mauricio Herrera: Thank you, Nadine. So in terms of your first question, this is Mauricio, on the U.S. RTDs, as I mentioned during the call, what continues to be a drag on our performance in [ RTS ], so which is the large formats, and that -- if you look at the marketplace, that continues to trend down as consumers are shifting to cans or RTDs. So when we talk about RTDs, we're talking mainly about cans. So what we are doing is changing and adjusting our portfolio with a lot of focus in RTDs, both in terms of execution format configuration, driving increased penetration across different channels. And we saw actually a big shift in the last quarter. We're showing growth of around 30% versus last year in our cans. So as we go forward, we will continue to drive not only execution, but also you would see innovation coming from us in that space, which is just pretty much adapting our portfolio to the evolving consumer needs.
Olga Montano: As for the Mexico question, as we have already talked about, we had an easier comparable base in terms of shipments in the third quarter. So it's more meaningful to look at the year-to-date performance. In the year-to-date performance, where shipments are and depletions are broadly in line, we are up 4.7% year-to-date in shipments versus 2.5%, respectively, in depletions. So I hope that answer your question.
Nadine Sarwat: Perfect. And then could you just remind us your split for -- of your RTD segment? I guess, how much is that large format versus RTS versus the cans, now that you've been implementing these changes?
Mauricio Herrera: So still from a mix perspective, we still hold a large part of our mix in RTS, but our focus will then to continue to increase the mix now on RTD. So for now, our mix continues to be larger on RTS. We feel that the market will continue to evolve within the cans. And therefore, you would see in the future, our mix of RTDs/cans continue to increase relative to the large format.
Operator: Our next question comes from the line of Froylan Mendez.
Fernando Froylan Mendez Solther: Froylan Mendez from JPMorgan. A couple of questions. First, on a follow-up on the gross margin. Just trying to understand how sustainable is this margin gain from agave? Because if we look back in the previous quarters, it has been very volatile, let's say, the margin dynamic into the third quarter, I would have expected more of a headwind from FX, which was clearly offset by the agave. But is there any reason why the fourth quarter shouldn't be at least this 300 basis points gross margin expansion if similar volume conditions remain into the quarter? Or what are we missing to understand the gross margin dynamics into the fourth quarter into 2026? And secondly, into Mexico, I mean, it's very impressive to see the performance, given the weak economic backdrop in general in Mexico. Do you see any difference in the consumer behavior in Mexico versus what we see in the U.S. in terms of consumption per capita? Or what is driving this recovery in volumes in Mexico? Those two questions.
Rodrigo de la Maza Serrato: Thank you, Froylan. I'll take the first question regarding the gross margin expectation. We will be facing a much more unfavorable situation from an FX perspective in the short term. Q4 comparable relative to last Q4 is going to be unfavorable as exchange rate was 20.1% on average. Other than FX, which could impact negatively the gross margin in Q4, we don't see any meaningful trend, changes regarding cost components. So besides that, that's the only impact that we, at this point, would be concerned about.
Olga Montano: As for Mexico, we continue to see a volatile and challenging market environment and a very cautious consumer. We continue to see a contraction, but the good news is contraction at a slower rate. And also the good news is Tequila remains one of the few categories that is growing, and we are actually outperforming the industry within it. So that's what I can tell you.
Fernando Froylan Mendez Solther: If I may just follow up, Rodrigo. So can I understand that the inventory that you are passing through the P&L is now at, let's say, a much lower cost versus what we have been seeing in most of the first half of 2025 and second half of 2024, so we are facing a real advantage on the cost side on agave from this point onwards?
Rodrigo de la Maza Serrato: Yes. I think that sounds right, Froylan.
Operator: Our next question comes from the line of Antonio Hernandez.
Antonio Hernandez: This is Antonio from Actinver. Just wanted to see if you can provide more color on the lower A&P expenses as a percentage of sales, if this at all, maybe this is impacting maybe sales performance? And in which regions are you mostly lowering this expense? And what are your expectations going forward?
Rodrigo de la Maza Serrato: Of course, Antonio. I'll take the question first. So A&P investment as a percentage of NSV is simply reflecting the more, let's say, some efforts in terms of efficiency on how we spend the A&P. But definitely, that's not a driver that we perceive is impacting top line performance in any of the regions.
Antonio Hernandez: Okay. And these efficiencies are all over the place, I mean, in all the regions?
Rodrigo de la Maza Serrato: Yes.
Operator: Our next question comes from the line of Ben Theurer.
Benjamin Theurer: This is Ben Theurer from Barclays. So I wanted to just understand a little bit and ask if there's more something in the pipeline. I mean, you've been divesting some of these like smaller noncore things. We've seen the Boost divestment. We have the Lalo brand this quarter. And we've seen this in the past by kind of like this review of the portfolio. So I just wanted to understand, as you look at the current portfolio in different regions, et cetera, specifically considering some of the softness also in RTD in the U.S., are there other things that you would consider as an asset for sale or like kind of like a noncore to kind of like really be able to focus and concentrate on the key things within Tequila, other tequilas and those other spirits that have been driving growth and have been doing better?
Juan Legorreta: Yes. We -- this is Juan Domingo. Yes, we are continuing analyzing our portfolio and -- to see which brands should we invest more and which less and which brands so we can dispose. So yes, probably there will be more.
Benjamin Theurer: Okay. And then I have one follow-up. Just as we look into the dynamics of spending on A&P over the last couple of quarters, it's clearly been, I would say, on the softer side. So as you look ahead, do you think this is a new level and new balance? Or as volume picks up and some of the momentum comes back up as we think into 2026 that you're probably going to be as well a little more on the upper end of what your usual guidance is for A&P?
Mauricio Herrera: So this is Mauricio. So for the U.S., what we've been working on is a very disciplined approach to return on investment, making sure that we're understanding more and more what are the activities that are actually having the best impact in the marketplace. We continue to spend ahead of industry standards. So I think that we're actually in a very healthy level of spend, and our focus is more on understanding where can we put the dollars that will have the maximum return so we can drive efficiencies without compromising our -- how we compete in the marketplace.
Operator: We have not received any further questions at this point. That concludes today's call. You may now disconnect.